Operator: Good morning, ladies and gentlemen, and welcome to the Amalgamated Financial Second Quarter 2024 Earnings Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions with instructions to follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Mr. Jason Darby, Chief Financial Officer. Please go ahead, sir.
Jason Darby: Thank you, operator, and good morning, everyone. We appreciate your participation in our earnings call. With me today is Priscilla Sims Brown, our President and Chief Executive Officer. As a reminder, a telephonic replay of this call will be available on the Investors section of our website for an extended period of time. Additionally, a slide deck to complement today's discussion is also available on the Investors section of our website. Before we begin, let me remind everyone that this call may contain certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We caution investors that actual results may differ from the expectations indicated or implied by any such forward-looking statements or information. Investors should refer to Slide 2 on our earnings slide deck as well as our 2023 10-K filed on March 7, 2024, for a list of risk factors that could cause actual results to differ materially from those indicated or implied by such statements. Additionally, during today's call, we will discuss certain non-GAAP measures, which we believe are useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with U.S. GAAP. A reconciliation of these non-GAAP measures to the most comparable GAAP measure can be found in our earnings release as well as on our website. And let me now turn the call over to Priscilla.
Priscilla Sims Brown: Good morning, everyone, and thank you for joining us. Our second quarter financial results clearly demonstrate that Amalgamated is continuing its high performance across key metrics. We delivered outstanding deposit growth, strong returns and a continuously growing sustainable earnings base that will provide us with optionality as we look to further expand our franchise over the medium-term. It was also nice to see the recent enthusiasm in our stock price for our shareholders. Clearly, our mission-based banking model is resonating with purpose-driven customers and impact investors alike more than ever as they increasingly become aware of and care about what their money is doing. During the quarter, we attended the Milken Institute Global Conference, the Sorenson Impact Summit and several other conferences, where we gave keynotes, participated in panels or fireside chats as well as listened intently to insights from change makers. We enjoy meetings like this where we get the opportunity to see firsthand just how effective people become when they learn more about the positive impact their deposits can have when placed with a responsible bank. It is also interesting to note that acceleration of private equity and product innovation in the social impact space is occurring. The top change makers and global impact investing are mobilized and Amalgamated is at the forefront to meet actionable opportunities. It's worth taking a moment to recognize its strong and consistent financial performance leads to invitations to events like these and to recognitions of being added to the 2024 Forbes list of Best Banks in each state. Our second quarter results drive this point home as our deposit franchise once again performed above peers with over $759 million in new deposits, led by strength across our political, our union and non-profit customer segments. Our non-political deposits were strong again this quarter as union deposits rose $258 million and nonprofit rose $240 million. This is a huge area of growth for us. There are over 30,000 unions in the U.S., and they are growing in number and size. As the largest bank for unions, we are excited about the runway. In the non-profit segment, our effective execution has earned us strong name recognition and an extensive referral network. Our political deposit balances grew over 20% and ended the quarter at $1.7 billion, well ahead of our prior peak of $1.3 billion achieved during the midterm elections in 2022. Looking forward, we expect our political deposits to begin exiting during the third quarter as campaigns increase their advertising spend. I also want to point out that we are witnessing increased enthusiasm among donors in response to headlines in the political space. These are unprecedented times with fundraising records being broken by the hour. I am humbled to note that Vice President, Harris' paperwork filed with the Federal Election Commission to officially become a candidate for President listed Amalgamated Bank as the campaign's bank of record. Our current model shows that our political deposits will trough at approximately $700 million at the end of the year, modestly above the 2022 trough. In preparation for this, we moved another $600 million in deposits off-balance sheet during the quarter and are now managing nearly $1.1 billion in off-balance sheet deposits within our reciprocal network. At the end of the second quarter, our non-political deposit growth has also been well ahead of our internal plan, which places us in a position where we now see the most likely scenario is that we will not add any significant level of borrowing to our funding mix through year-end '24. Turning to the other side of our balance sheet. Loan growth was healthy in the quarter and largely comprised of commercial real estate and multifamily loans, while our climate-related loan originations were muted by $87 million of commercial and industrial payoffs and paydowns during the quarter. Looking to the third quarter, we have approved several impact loan commitments in the first few weeks of July and our sustainable lending pipeline looks promising for the second half of the year after showing modest growth in the second quarter. Looking ahead, the political landscape is rapidly changing. Things like the Greenhouse Gas Reduction Fund could see some restructuring. But we remind you that none of our 2024 projections assume any GGRF lending. Our conservative forecasting takes into account the fact that those dollars have not actually been transferred out of the government yet. Regardless, the world is mobilized to meet the climate finance needs which will require an estimated $3 trillion of financing over the next 10 years for just the US to reduce net emissions to 0 by 2050 and GGRF is a small portion of this needed capital. We believe this investment will occur no matter the political landscape and Amalgamated is well positioned to play a very important role as a provider of financing to these needed projects. As I mentioned earlier, Amalgamated is recognized as an industry leader in climate finance and positioned not only to take domestic share, but to have an international impact as well. We have spoken about our alliances with banks globally through the Net Zero Banking Alliance and the Global Alliance for Banking on Values. Recently, we've also partnered with a UK-based Green Finance Institute, who are pioneering a property-linked finance product that is much like PACE financing here in the US. We see long-term opportunities to participate in climate-related projects globally, especially as the UK and other governments look to mobilize public decarbonization of capital similar to the US' GGRF. As you can see, we have a long runway ahead of us as we appropriately grow the bank. And our financial results prove that social responsible banking is not only good for customers and communities, but also good business delivering value for our shareholders. Jason, over to you.
Jason Darby: Thank you, Priscilla and good morning everyone. Keep things moving, I'm going to hit on less slides in the earnings deck and try to highlight just the most important items. If I miss anything, I'll be happy to cover it in Q&A. Let's start off on Slide 3. Our 2024 second quarter produced more solid results. Net income was $26.8 million or $0.87 per diluted share. Core net income which is a non-GAAP measure was $26.2 million or $0.85 per diluted share, representing a growing and sustainable earnings base. The quarterly results also featured significant deposit growth with a low total cost of deposits of 155 basis points, net interest income growth and a 13 basis point leverage ratio increase. There was also a little bit of noise in the quarter which is obscuring our margin improvement and net interest income growth as we had $2.1 million of accelerated amortization on $20 million of C&I loans that we put back to the government which lowered our net interest margin by approximately 10 basis points. Excluding this unexpected impact, our net interest margin would have risen seven basis points to 3.56% from 3.49% in the prior quarter. That said in Q3 we anticipate recognizing $1.5 million to $2 million of net deferred loan costs which will reduce our NIM by around 10 basis points from the second quarter's adjusted level of 3.56% all else equal. Our neutral balance sheet strategy continues to pay dividends for us and we are now managing $1.1 billion of off-balance sheet deposits comprised of both transactional political deposits and excess nonpolitical deposits. Our deposit strength allows us great flexibility to structure our balance sheet for sustainable profitability and returns. And in the second quarter, off-balance sheet deposits generated approximately $4.9 million of noncore noninterest income. Over the past few quarters, we've been utilizing this off-balance sheet income to further reposition our securities portfolio and we sold another $140.1 million during the quarter. We expect that we will continue to utilize this noncore interest income through the third quarter to further sell securities and residential loans focused on improving our core earnings. And more to come on this when I close out my comments. Continuing to Slide 4, we look at some of our key performance metrics during the second quarter. Starting off on the left our tangible book value per share increased $0.88 or a healthy 4.5% to $20.61, crossing $20 for the first time in the bank's history. Our core revenue per diluted share was $2.52 for the second quarter, a four basis point increase from the prior quarter and we think this nicely shows our commitment to delivering long-term shareholder value. Moving across to our returns. Core return on average equity was 16.93% which we expect to modestly decline as we build our equity base through earnings and mark-to-market improvement. And we are especially pleased with our consistent core return on average assets of 1.27%, showing in the earnings power and potential of the bank. Moving to capital. Our Tier one leverage ratio improved another 13 basis points to 8.42% and we have made significant progress building capital over the last year or so. Our tangible common equity to tangible assets was 7.66%, improving from the previous quarter, despite long-term interest rates modestly ticking up. Turning to Slide 5. Total deposits at June 30, 2024 were $7.4 billion, an increase of $143.2 million from the linked-quarter, which as Priscilla noted only tells part of the story. On-balance sheet deposits excluding brokered CDs, increased $152 million or 2.1% to $7.3 billion, though there were significant additional deposit growth during the quarter. Non-interest-bearing deposits actually increased to approximately 46% of average deposits and 47% of ending deposits excluding brokered CDs, contributing to a strong average cost of deposits of 155 basis points in the second quarter. Jumping ahead to Slide 6 and 7. The book value of our traditional securities portfolio increased $121.2 million during the quarter, primarily as a result of $342.2 million in purchases, offset by $140.1 million in strategic sales and $81.5 million in traditional securities paydowns, as part of our strategy to reduce our downside interest rate risk. During the quarter we also utilized derivative hedges and repositioned our securities portfolio in order to minimize downside interest rate risk associated with the strong deposit growth. Net PACE assessment growth was $27.4 million. R-PACE production modestly exceeded the $20 million to $25 million range that we provided on the first quarter call. And looking to the third quarter we anticipate R-PACE production of an additional $20 million to $25 million as we add additional purchases. Turning to Slide 8. Net loans receivable at June 30, 2024 were $4.4 billion, an increase of $49 million or 1.1% compared to the linked-quarter. The yield on our total loans decreased eight basis points to 4.68% during the quarter, and the decrease in loan income and yield was primarily due to $20 million of the government guaranteed C&I loans that we put back to the government. These loans had a $2.1 million premium which required accelerating the amortization of the premium and which had a one-time impact on our second quarter loan yield and net interest margin. Moving to Slides 9, 10 and 11. Looking at the real estate portfolio, we have $134 million in maturing lower-priced commercial real estate and multifamily loans over the balance of the year. Importantly, we have a relatively benign exposure profile, as our office-only commercial real estate portfolio was $61 million comprised of all past grade credits and less than 23% of our multifamily portfolio had loans with units subject to pre-1974 rent stabilization rules. Early in the third quarter, we have one of our office-only credits for $18 million set to pay off which will nicely improve the risk profile of our CRE basket. On the multifamily side, we have already been working with all of the borrowers well in advance of maturity and feel comfortable with our plans for action relative risk and related allowance reserve coverage at this time. During the quarter, we renewed $12 million of pre-1974 exposure across two credits via a combination of cash infusions and amortizing terms in exchange for modest rate concessions. In the third quarter, we have $35 million of pre-1974 loans maturing. Moving to Slide 14. Non-performing assets were relatively stable at $35.7 million or 0.43% of period-end total assets at June 30 2024 and our criticized assets decreased $6.4 million to $94.5 million on a linked-quarter basis. Now that said, our consumer solar charge-offs remained elevated, as we experienced a high net charge-off rate of 23 basis points and we added approximately $1 million of additional reserves to boost our coverage ratio to 7% of that portfolio shown on Slide 15. Given the trends that we have been seeing in our consumer solar portfolio we have made the decision to move our ACL coverage ratio higher in order to get ahead of potential year-end changes in our CECL model. Turning to Slide 16. We are raising our full year 2024 guidance to core pre-tax pre-provision earnings of $149 million to $152 million, and net interest income of $274 million to $278 million which considers the effect of the forward rate curve for 2024. Additionally, we estimate approximately $1.4 million decrease in annual net interest income for a parallel 25 basis point decrease in interest rates beyond what the forward curve currently suggests down from a $2.2 million decrease in annual net income in the preceding quarter. To conclude we are updating our target balance sheet size for year-end to approximately $8.3 billion. We have been very happy with our Tier 1 leverage growth, and even at a slightly larger balance sheet, we believe we can still improve leverage well beyond 8.5% in the coming quarters. We've consistently said the most important factor for us to expand the balance sheet was the performance of our non-political deposit gathering franchise. Halfway through the year, we are remarkably ahead of our deposit plan and now believe it's likely we will not need wholesale funding support for the significant political deposit outflows that we expect in the fourth quarter when the presidential election concludes. In fact, we believe our outlook shows how Amalgamated continue to deliver margin expansion and earnings growth well beyond the current year. Briefly looking at the third quarter, we are reasonably optimistic that our net interest margin can expand two to four basis points including the absorption of the deferred costs discussed earlier. Correspondingly, we anticipate our net interest income to range between $69 million and $71 million in the third quarter. In the fourth quarter, we could see some margin pressure, as noninterest-bearing deposits will likely be first out for the election, but we believe the effect will be minimal at between two basis points to four basis points off the third quarter and will likely also serve as a new inflection point heading into 2025, as we have much runway ahead of us for loan yield expansion. So in closing, we are very happy with our second quarter results and are quite optimistic for the remainder of the year and 2025, as well. We look forward to updating you all again with our third quarter results in October. And with that I'd like to ask the operator to open up the line for any questions. Operator?
Operator: Thank you. At this time we will be conducting a question-and-answer session [Operator Instructions] And our first question is from the line of Janet Lee with JPMorgan. Please proceed with your questions.
Janet Lee: Hello?
Priscilla Sims Brown: Good morning.
Janet Lee: Good morning. So one of your peers in your market reported a large credit loss from New York office and rising credit pressure from rent-regulated portfolio. It appears your credit metrics are pretty stable. Can you give us an update on how your credit expectation on your rent-regulated portfolio have changed if at all over the past quarter? And what makes you confident that the current reserve ratio on your asset cost is sufficient?
Jason Darby: Thanks, Janet. I'll take that. We feel really good about our real estate portfolio right now and we're aware of the news. It's unfortunate but we do think that the portfolios are rather different. We've spoken about that publicly just the nature of our portfolio the geography is similar but the client base is quite a bit different from some of the other banks that are reporting negative news. We have had some success again this past quarter with renewals on the loans that we think are the most susceptible to the market rate risk in the multifamily portfolio those being the pre-1974s, we had about $10 million or $12 million that came due in the second quarter and we were able to find a renewal path, which consisted of a combination of cash injection and amortizing terms. We did give some modest rate concession to keep the borrowers in their properties but we think all else equal there are very strong outcomes there. And we've talked about this before but the upcoming tranches we have $35 million of the pre-1974 style loans coming due. In this quarter we've been very active with the borrowers well in advance of this renewal date, so there are no anticipated surprises with the borrower at least in terms of what the renewal expectations are. We think between the ability for the borrower to put cash into the deal and having strong LTVs that we're in a really good place to be able to continue to manage those properties or those renewals effectively. And we're very conscious of the reserve coverages. The macroeconomic forecast was actually benign relative to our CECL model but we elected to not take any benefit through our ACL relative to the macroeconomic factors and keep those reserve ratios on both the CRE and the multifamily portfolios flat from the prior quarter. Just again given the loss history and how we see the portfolio going forward, we didn't feel a need to move up those coverage ratios at this time. But we take a very cautious approach towards the portfolio. We have a very, very close eye on each of the credits that are there. And if there are anything that we felt was a significant risk you'd certainly see that in our financial results relative to coverage ratios or otherwise. So a little bit of a long answer for your question Janet, but I think the way that we manage the portfolio, the amount of derisking that we did prior to where we are in current status and the proactive nature we have in portfolio management is a deciding or a differentiating factor between us and some of the other banks right now and we'll continue to be very, very cautious with it.
Janet Lee: Okay. That's very helpful. And just on consumer solar. So the 2.5% net charge-off ratio, is that the level that we should expect in the coming quarters until we get a rate cut? Like is that the sort of a good run rate of net charge-off ratio that you expect from this asset class? Or how should we think about that?
Jason Darby: I think it's a good proxy to use going forward until we see a more substantive rate decline. I think the NCOs were about 23 basis points this quarter, which is the higher – highest end we've had in the charge-off rate right now. I like a range of that 15 basis points to 23 basis points. We are very active in driving recoveries. We haven't been able to see that flow through the financial statements yet but I do believe we're going to have some level of benefit moving through the financials. But it's at a point, where I think it's more conservative to use the current loss rate as your proxy going forward until we can demonstrate some better recovery metrics at this point. And that's why we moved that coverage ratio up to 7%, on the overall consumer portfolio for this quarter. We think that there could be a little bit of a CECL impact as we get closer to the end of the year. So looking at that loss rate and adding a little bit more coverage we think was a prudent thing to do and really reflective of probably a forecast of there being an ongoing higher elevation or a higher rate of charge-offs in the portfolio than we would have liked at this point.
Janet Lee: Okay. Got it. And on C&I, it looks like you guys are seeing some increase in commitments and hopefully some lessening payoffs there. Priscilla, you talked about modest growth in the second half of 2024. Can you give us a little more details about your expectations on C&I growth and more overall loan growth, as we head into the back half of the year as well as heading into 2025 potentially as we also get rate cuts?
Jason Darby: Yes absolutely. I'll take the first part of that question Janet, and then flip it over to Priscilla for a little bit more of the forward look. In the current quarter, we didn't show much growth in the C&I. In fact I think it was net down very slightly, but there was actually some really good activity that happened during the quarter. We had about $37 million or so of new originations that were all climate-related. And we had another $47 million that was drawn from previously booked deals. We also had a couple of good points in the quarter that obfuscated those results. As we had a payoff from one of our pass-rated C&I loans, but it was six grade. We weren't thrilled with the outcome that might happen in the upcoming quarters. So the payoff is actually a very, very good thing. And then we put back $20 million of USDA loans to the government. So net-net it really obfuscated what we thought was a pretty decent quarter so far in C&I. And we had some nice closing of commitments early in July that are reflected in our off-balance sheet reserve. So we think there's some momentum there. And Priscilla, do you want to share a little bit about what we think the [indiscernible] will look like?
Priscilla Sims Brown: Yeah. Sure. Sure. Sure. Janet, I think for the full year we are still comfortable with a target of about 4%. And that equates to about, somewhere between $275 million to $320 million of loans. And that will be pretty -- in the third quarter and both the fourth quarter we're targeting something along the lines of $100 million to $120 million, so for both quarters. Of that, we expect just looking at the pipeline we're going to bring on somewhere between $150 million and $185 million in climate-related loans by the end of the year. But to the point Jason just made about draws, I mean we think that will amount to about $50 million in draw in the year. And none of this takes into account anything that may come through from like a GGRF or anything else. This is just the normal course of business that we see through the pipeline today.
Janet Lee: Got it. That's helpful. And my last question, if I could. It appears that you experienced a similar pace of interest-bearing deposit costs in the second quarter versus the last quarter. Can you give us some color on your deposit pricing competition in your market and your NIM outlook for the third quarter and the fourth quarter? Are you baking in that as we get a couple of rate cuts potentially this year assuming the forward curve you expect the deposit cost decline towards the end of the year?
Jason Darby: So the NII forecast for the guidance update that we gave does assume 50 basis points of rate cuts as the forward curve suggests. The -- to back it up and tell you how we get there, I think the deposit rates the way we've seen them trend the -- we were predicting it to be right around this cost of funds that we had in the third quarter just based on the stated rates that we had at the end of the second quarter. I think those have tracked pretty nicely. And I usually turn to the money market rate on our deposit disclosure in our press release, as a good indicator as to where our overall deposit cost of funds are going. We have not seen in the latter half of the second quarter and early into the third quarter any significant deposit pricing pressure relative to our competition. And so I'm not expecting a big increase in stated cost of funds throughout the rest of the third quarter. That said, when we get to -- and I think before I get to the fourth quarter that said, I think that's going to be a big contributor for our ability to deliver margin and NII expansion in the third quarter, presuming everything stays as we are hoping it will. When we get to the fourth quarter what should be interesting is, the migration of the balances to the election cycle. So figure we're estimating somewhere around $1 billion will move out of the bank into the campaigns. We've got about $1.1 billion sitting off-balance sheet right now. And we had been consciously keeping some of the higher cost deposits on our books to smooth out any effect we might have had Janet for the need to use higher cost borrowings in the fourth quarter to fill the gap for political deposit outflow. As it looks right now we don't think we're going to need any borrowings or wholesale funding to support that outflow. So, while we do expect the noninterest-bearing deposits to be first out if you will the interest-bearing deposits that would move back onto the balance sheet probably are priced a little bit lower than what we're showing on our stated rates right now in the third quarter. And so that gives the math if you will to get to a lesser of an impact on the margin than we would normally have expected in the fourth quarter and really set us up for in a new inflection point and margin expansion and hopefully NII growth as we move into 2025. So, that was a lot. I'm happy to take a follow-on if you want to dissect that a little bit.
Janet Lee: No, that's very helpful. That's it.
Priscilla Sims Brown: Janet, you'd also asked about 2025, but we'll be talking more about that at the end of the year as usual.
Janet Lee: Thanks.
Operator: Our next questions are from the line of Mark Fitzgibbon with Piper Sandler. Please proceed with your question.
Mark Fitzgibbon: Good morning.
Priscilla Sims Brown: Hello and welcome.
Mark Fitzgibbon: Thank you. Priscilla I was curious do you think the late change in the Democratic presidential candidate will affect the flow of political deposits in the third quarter at all?
Priscilla Sims Brown: Well as you've already seen we are trending about $0.5 billion above where we would normally be at the peak towards a later point in the cycle. So, I think the enthusiasm on both sides will continue. I think fundraising as you've seen in the last four days has kicked up and I think there's new enthusiasm and you'll see those numbers continue to grow. So, no, I don't expect that you're going to see a decline.
Mark Fitzgibbon: And do you have a sense for what the $1.8 billion that you have in political deposits represents as a maybe a percentage of the Democratic political deposits as a whole? I guess I'm just trying to get a sense for what percentage of the total pie do you guys represent?
Priscilla Sims Brown: I think your firm and others have looked at that not so much on just the dim side but on general fundraising and elections and but we don't do that. So I don't know what the larger fundraising has been in the whole ecosystem. Because keep in mind it's not just what the candidates raise and their super PACs. It's also the ecosystem of people like ActBlue and other major clients. And I don't think I don't have that number to you.
Jason Darby: We don't have that number. We know we have a significant portion but what we like to point to as an indicator would be so Harris recently has been moved towards the presumptive nominee for the Democratic Party. And her campaign election filing with the Federal Election Commission Amalgamated Bank is listed as the bank of record for the campaign. And so without being able to specifically quote what our share is of that space we do think it's really important to see how entrenched Amalgamated is in this whole process with the campaign finance and the Democratic Party. And hopefully that gives it a good indication of our position relative to a pretty significant change that just occurred in the party process.
Mark Fitzgibbon: Okay, great. And then changing gears a little bit. I was wondering if you could share with us what the average yields on the multifamily and commercial real estate loans that are set to mature this in the back half of this year look like?
Jason Darby: Yes, back half of the year they're still coming in that low 4% range for the multifamily and for the CRE. We're probably going to have a little bit of noise though because on the C&I side not that you asked this but on the C&I side we're going to have some shorter term higher-yielding loans moving off the books. So, while we're going to get some ability to grow yield relative to the real estate portfolio we're going to have to replace some higher-yielding assets on the C&I side. So, the effect will be a little bit muted in the back half of the year but that hopefully gives you a sense of what's turning over on the real estate portfolio.
Mark Fitzgibbon: It does. And then in terms of like you originated I think $55 million of multifamily loans in the second quarter. What kind of rates did those new loans come on at?
Jason Darby: Yes. They were coming on in the call it high 6% to low 7% somewhere in that 6.85% to 7% range. The LTVs on those were real strong. I think we've booked some really prudent credits and I'm really happy with those real estate assets that we were able to add from a client point of view. Now, rates have come down a bit and spreads are tightening up. So, I don't think we're going to have those same types of bring-ons in the third quarter. We're thinking it's going to be more in the low to mid-6% range for real estate assets that we would do in the third quarter.
Mark Fitzgibbon: Okay. And then lastly could you share with us any thoughts on operating expenses in the third and fourth quarter?
Jason Darby: Yes. We are moving very much according to our plan. We were a little accelerated in OpEx this quarter versus Q1, but that was expected. We had said in Q1 that we were a little lower than our annualized run rate. We are targeting a $157 million annual expense run rate and we're tracking very much to that. We think the quarterly expense run rate would be $39.25 million or something along those lines for both Q3 and Q4. Now that said and we'll be very open about forecasting when we get to the Q3 call. If we continue to track towards the higher end of our new guidance we may look to advance some project work that we had scheduled for next year into this year to get a head start, which would necessarily increase the OpEx, but we'd be very mindful obviously of how that would affect core efficiency. So as long as the top-line is there Mark we would be potentially adding to the expense base a little bit sooner than we would have coming into next year and that would drive that number from $157 million up maybe to $158 million or $159 million.
Mark Fitzgibbon: Great. Thank you.
Jason Darby: You're very welcome.
Operator: Thank you. [Operator Instructions] The next question is from the line of Chris O'Connell with KBW. Please proceed with your question.
Chris O'Connell: Hi. Good morning. So just wanted to start off on the political deposit and the flows into the back half of the year. So if I'm reading everything right I think the $1.7 billion and change $1.7 billion to $1.8 billion of total political deposits with about -- there's only about $700 million -- $600 million and change on the balance sheet right now. Is that correct?
Jason Darby: It's a little bit more on the political side. It's probably closer to $1 billion that's on the balance sheet right now. We've got about $450 million of that off-balance sheet. I might have those numbers a little bit off but I think we do a reconciliation in the back part of the earnings deck for you on that Chris.
Chris O'Connell: Okay. Got it. So -- and then so more or less like the off-balance sheet really reduces the risk of a large deposit change even with the election cycle in the fourth quarter maybe only $200 million to $300 million of on-balance sheet reduction?
Jason Darby: I think that's right. It's more about the mix. I mean if you just think about it as a first line of defense the off-balance sheet deposits would be the ones that would go against the political deposit outflows. So if we have $1.1 billion off-balance sheet right now and we expect around $1 billion or $1.1 billion to go out on the political campaign that would effectively reduce that off-balance sheet to zero obviously, but the idea would be you'd be taking on-balance sheet quite a bit of those off-balance sheet that sit there because they're not political. And that would be the impact if you will I was talking about Jan earlier that would happen to our overall cost of funds. And like I said before we've had some of the higher priced deposits on-balance sheet for the specific purpose of not having a wild blip in funding cost if we had to go out to the borrowing windows and plug the hole for deposit outflow like we've done in the past in this case we'd be just changing that mix and you'd be seeing interest-bearing deposits coming back on the books that probably drive that non-interest-bearing to interest-bearing ratio down a bit. But all equal it should be a nice benefit relative to what the price would have been on wholesale funding costs. I'm not sure if I'm answering exactly your question but that's the way to think about that off-balance sheet and deposit outflow for political or at least that's how we're thinking about it.
Chris O'Connell: No, yes. That's very helpful. And so is the intention or your expectation that there's probably some level of additional ICS fees that you get in the third quarter and then that kind of trends off down to zero into the fourth quarter and then kind of revisit that strategy depending on the level of excess deposit growth in 2025?
Jason Darby: That is the baseline assumption Chris that the ICS fees will be fairly substantial here in Q3 and we think we have some great opportunities to do some additional balance sheet restructuring beyond securities particularly looking at residential loans and moving some of that in the form of a sale so we can create better ability to continue to improve the earnings stream. And you get to the fourth quarter in theory we get closer to zero if the outflow is matched what I just said for you for the off-balance sheet and then you would start to think about building that back up if deposits continue to outpace and we want to keep our balance sheet relatively level to where we are at this $8.3 billion, $8.4 billion range. The trick would be is the political outflow going to be $1 billion? Is it going to be less or is it going to be more? We still don't really know. But going in we think that $700 million which was our trough at the end of 2023 we think that's going to be our baseline assumption Chris. So all else in that's the way this hopefully will end up for us. And in theory if it does that -- happen that way we could start to see more ICS income in the coming year.
Chris O'Connell: Great. And then you mentioned the securities that were sold during the quarter. Do you have the yield what those were on balance sheet at?
Jason Darby: I don't have that on the off the top of my head, I can probably get that for you in post if that's okay or perhaps, somebody can send me a note. But I -- if you can hold on a minute, I can get that for you. I don't exactly know that answer.
Chris O'Connell: Yes. And then just you talked about maybe doing a little bit more of that to help out the margin in the back half of the year. Any sense of the size and just the ballpark yields, on what you have left to be able to do there?
Jason Darby: Yes. On the securities portfolio, there's still a fair clip of agency and non-agency that's in that call it high 3 to mid-4 range where we can get some impressive opportunity to flip over the earnings stream. But what we're really focused on now is, more the real estate portfolio. We'll probably do less securities portfolio restructuring. I mean, we've done now $715 million or so might be a little bit more in securities turnover since the first quarter of last year. And right now, the focus is moving a little bit more to the loan portfolio, where we want to do a couple of things particularly with resi. Number one, we want to demonstrate some liquidity out of that portfolio. Number two, we want to be able to move the lowest priced assets that we have on the balance sheet. In that space, we have a bunch of assets in that 3% to 3.50% range where we think we can get some pretty strong paybacks in terms of time, relative to the pricing of those loans. And so that's where more of the focus is going to be, in the third quarter relative to how much we generate from the ICS income. So, figure less on securities more or new with loans. And I'm getting a note Chris, the sales were around 5.25% for the securities that we just took off in the third quarter. So, I hope that gives you a little -- I'm sorry, in the second quarter. I hope that gives you a little bit of a sense for what we're trying to do. And the securities again, I -- sorry I said, 3.50% to 4.50%. I think it's going to be more in that 4.50% to 5.25% range for the securities that we might do in the third quarter and fourth quarter. Also, apologies for the misquote earlier.
Chris O'Connell: No, that's all good. And then, can you talk just a little bit about the nonpolitical deposit kind of socially responsible organization or the rest of the deposit pipeline into the back half of the year?
Priscilla Sims Brown: Yes. That's a really good part of the story for us Chris. It really is a reflection of the credibility that we enjoy with not-for-profits and the incredible kind of connection or conversations that take place between them. So, a lot of that is referral business from existing clients or from clients who have moved from one not-for-profit to another. And we continue to have really strong relationships in that arena. So, that's worked out very well. And then, of course, there's also the climate-related organizations as well placing deposits.
Chris O'Connell: Great. And then, have you -- you've talked about some of those other organizations and the potential, the kind of impact the trust business in a positive way going forward. Any updates on what you see from that side of the business, on a go-forward basis?
Priscilla Sims Brown: You're speaking specifically, to the trust business?
Chris O'Connell: Yes.
Priscilla Sims Brown: Yes. Okay. Sorry. Yes, I'm feeling very good about, what we are doing on the trust side right now. Last quarter, we brought on a new leader, moved the organization together under one leader. So you have one real profit center and the ability -- one person with responsibility for the P&L. We also think the opportunity obviously, in the union space is huge and we are only scratching the surface, even as the largest bank in that space, we're barely scratching the surface there. We brought on new clients in the quarter. We're continuing now to just expand our awareness and providing services there. And so we have a lot of optimism, as it relates to trust in the union space.
Chris O'Connell: Great. Thanks for taking my questions.
Priscilla Sims Brown: Thank you.
Jason Darby: Thank you, Chris.
Operator: Thank you. At this time, this concludes our question-and-answer session. I'll now turn the floor back to Priscilla Sims Brown for closing remarks.
Priscilla Sims Brown: Great. Thank you, operator. And thanks for all of those good questions. We appreciate them and the opportunity to discuss our second quarter results. And we hope to continue the conversations offline, as you work to fine-tune your models. We think the quarter shows that we've continued to demonstrate the strength and competitive advantages that we enjoy, as we look to the second half of the year. I'd like to thank our employees, for their hard work and their dedication to the bank and to all of our customers. Our success would not be possible without the commitment and determination of a really talented team that is maturing well over the course of the last three years. To conclude, I could not be more excited with the opportunities that lay ahead for Amalgamated Bank. We're operating at a high level, with strong earnings base and multiple avenues to drive further growth and returns. We're well positioned for the significant secular changes that are occurring specifically in climate finance, and I look forward to updating you on our progress on our third quarter call. So once again, thank you for your time today and we look forward to continuing the dialogue.
Operator: That concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.